Operator: Good afternoon everyone and welcome to First Solar's First Quarter 2025 Earnings Call. This call is being webcast live on the Investors Section of First Solar's website at investor.firstsolar.com. All participants are in a listen-only mode and please note that today's call is being recorded. I would now like to turn the conference over to your host, Byron Jeffers, Head of Investor Relations. Please go ahead, sir.
Byron Jeffers: Good afternoon and thank you for joining us on today's earnings call. Joining me today are our Chief Executive Officer, Mark Widmar; now Chief Financial Officer, Alex Bradley. During this call, we will review our financial performance for the quarter and discuss our business outlook for 2025. Following our remarks, we will open the call for questions. Before we begin, please note that some statements made today are forward looking and involve risks and uncertainties that could cause actual results to differ materially from management's current expectations. We undertake no obligation to update these statements due to new information or future events. For a discussion of factors that could cause these results to differ materially, please refer to today's earnings press release in our most recent annual report on Form 10-K as supplemented by our other filings with the SEC, including our most recent Form 10-Q. You can find these documents on our website at investor.firstsolar.com. With that, I'm pleased to turn the call over to our CEO, Mark Widmar. Mark?
Mark Widmar: Good afternoon and thank you for joining us today. Beginning on Slide 3, I will share some key highlights from Q1 2025. From a commercial perspective, since the previous earnings call, we have secured net bookings of 0.6 gigawatts at a base ASP of $0.305 per watt, excluding adjusters and Indian domestic sales. As a result, our contracted backlog today stands at 66.3 gigawatts. In Q1, we recorded 2.9 gigawatts of module sales, which is in line with what we forecasted on the previous earnings call. Our Q1 earnings per diluted share came in below the low end of our guidance range at $1.95 per share, primarily due to a greater portion of our Q1 sales being forecasted to be an international versus U.S. product. Alex will provide further details regarding our financial results later in the call. From a manufacturing perspective, we produced 4.0 gigawatts in Q1, comprised of 2 gigawatts of Series 6 and 2 gigawatts of Series 7 modules. We completed limited commercial production run of modules employing our CuRe technology from our lead line in Ohio during the quarter and continued to deploy these modules in both commercial and field test sites. Initial data indicates the enhanced energy profile expected from the superior temperature response and improved bifaciality of our CuRe technology is being realized. Furthermore, the laboratory accelerated life testing is confirming the industry's leading annual degradation rate. Our domestic capacity expansion has advanced during the quarter as we continue the ramp of our Alabama factory, at our Louisiana facility, construction of the building was completed and equipment installation and commissioning is fully underway. The facility remains on track to begin commercial operation in the second half of this year, and once ramped, it is expected to increase our U.S. nameplate manufacturing capacity to over 15 -- excuse me over 14 gigawatts by 2026. Turning to Slide 4. I would like to focus on recent policy and trade developments. We continue to experience significant near term uncertainty from the budget reconciliation process and its potential impact on the Inflation Reduction Act, clean energy, tax credits, and now from the evolving trade landscape as the administration implements its new tariff initiatives. However, despite these near term challenges, we believe on balance, the political and trade environment continues to be an overall long term favorable from a First Solar perspective. While the implementation of certain new trade policies was a possibility with the change in administration, the new tariff regime imposes -- earlier this month has introduced significant challenges to 2025 that were not known at the start of the year. I will focus on outlining the operational challenges that tariff poses for First Solar, while Alex will later discuss the detailed implications to our full year guidance. We have elected to update our guidance range with an upper end that assumes the current applicable 10% universal tariff structure remains in place throughout the year. The lower end it seems both a range of non-tariff related risks to our operations, as well as implications from the previously announced, but temporarily suspended country-specific reciprocal tariff structure. We currently operate international manufacturing in India to serve both the India and U.S. market and in Malaysia and Vietnam, which almost exclusively serve the U.S. market. The President's implementation of reciprocal tariffs earlier this month with rates of 26%, 24%, and 46% applicable to India, Malaysia, and Vietnam respectively creates a significant economic headwind for our manufacturing facilities in these countries selling into the U.S. market. While the subsequent 90-day pause to the effectiveness of these tariffs and the application of a 10% universal tariff partially mitigates the impact, the lower rate would still result in a meaningful adverse gross margin impact to sales into the United States, absent the duty being fully passed through to the module buyer. In addition, the uncertainty surrounding whether the reciprocal tariffs will be reinstituted at the 90 -- after this 90-day pause or whether the pause will be indefinite or whether a different tariff regime will be put in place has created a challenge to quantifying the precise tariff rate that would be applied to our module shipments into and beyond the second half of this year. Our sales contract for international volume shift to the United States typically includes provisions that are intended to mitigate the adverse gross margin impact from changes in law due to the implementation of tariffs on modules. These provisions, which may be invoked at First Solar’s discretion, come in a variety of types, including some where First Solar may terminate the contract if it chooses not to absorb the new tariffs. Others, either the customers required to absorb, or First Solar and the customers required to share up to a certain amount of the tariff before either party may terminate, and others which represent the majority of these contracts, where a negotiated period is contractually required for First Solar and the customer to discuss the allocation of tariff risk before either party may terminate. To the extent if the contract is terminated on the basis of these provisions, the agreement would effectively unwind with neither the customer nor First Solar being responsible for a termination payment, resulting in a corresponding reduction to our backlog, as well as a return to the customer of any related deposits. These provisions are intended to protect First Solar in the event of changes in law related to tariffs that pose significant economic risk to us and that could otherwise force First Solar to transact at a loss. With respect to our overall backlog of 66.1 gigawatts as of March 31, 2025, we have approximately 13.9 gigawatts of forward contracts for delivery of international product into the United States. After accounting for the remaining volume sold in 2025 at the low end of our revised guidance range that Alex will later discuss, there remains a forecasted year-end net 12 gigawatts of international product in the backlog that may be terminated based on these tariff-related provisions. With an ASP below the backlog average and after accounting for lower production costs, but significantly higher sales rate, including port-related costs, warehousing, and storage associated with the international product, the profitability of this portion of our backlog is below the overall backlog average. Note, if this -- First Solar elects to absorb the tariffs costs beyond its contractual obligation, no termination right exists, and the volume will remain in the backlog. Furthermore, with respect to our module contracts for delivery of product from our U.S. facilities, module tariffs are not applicable and therefore it is not impacted to our contracted backlog with respect to this volume. From an allocation standpoint, our ability to optimize our U.S. production with our international production to support our customers' qualifications of the domestic content ITC bonus may be constrained under the new tariff regime. As we may not be in a position to utilize our currently available international production capacity, absent customers' willingness to absorb or meaningfully share the increased tariff exposure. Our customers' willingness to bear some or all of the tariff costs beyond this module contracted obligation must be considered in the contents of the overall project-related cost increases from the new tariffs, including not just with respect to the modules but also tracker, inverters, transformers, and other imported equipment. Given the majority of the best components with some dependency on Chinese supply chain, Solar Plus storage projects in particular may face significantly increased costs. Given these headwinds, we expect to pivot our India facility away from exports to the U.S. and towards producing more product for the domestic India market. With regards to the impact of new tariffs on our Malaysia and Vietnam factories, we will continue to evaluate best options to optimize production across the sites in a potentially reduced U.S. demand environment for non-domestic product, but are mindful that we may need to further reduce or idle production at one or both of these locations, especially if the announced reciprocal tariffs are put in place. That said, despite these near-term challenges presented by the new tariff regime, we believe the long-term outlook for solar demand, particularly in our core U.S. market remains strong, and the First Solar remains well positioned to serve this demand. This belief is based on our unique profile of First Solar compared to its peers. We are the only US headquartered PV manufacturer of scale, and by the end of this year, we will be the only one with a fully vertically integrated U.S. solar manufacturing presence across 3 states, including a large domestic supply chain, not just in Ohio, Alabama, and Louisiana, but across states such as Wyoming, Utah, Indiana, Illinois, Michigan, and Pennsylvania among others. As we've mentioned before, by year end, our U.S. presence alone is projected to support over 30,000 direct, indirect, [indiscernible] jobs across the country, representing almost 2.8 billion in annual payroll. Our powerful contribution to the U.S. economy is due to our differentiated proprietary thin film technology, but is also dependent in part on a level playing field given the unfair and illegal trading practices of so many in the Chinese crystal and silicon supply chain. As we've engaged with political leaders over the course of the year and as recent developments have demonstrated, we believe there is recognition among politicians, policy makers, and other authorities of the need to address these unfair practices, as well as the criticality of maintaining an industrial policy that allows high value solar manufacturing to grow and thrive in the United States and contributes to our energy and national security. One example of this recognition is the recent final determination results in the AD/CVD case known as Solar 3. Addressing illegal dumping and subsidization by the Chinese headquartered companies operating in Cambodia, Malaysia, Thailand, and Vietnam. Last week, the Commerce Department announced generally substantial AD/CVD duties across all 4 of these Southeast Asian countries, which are generally retroactive and stacked on top of the existing Section 201 tariff regime and the 10% universal tariff rate currently being applied. These results reflect what we have known that the unfair practice by Chinese headquartered solar companies put American manufacturers and American jobs at risk, and the enforcement of the rule of law is essential to securing our manufacturing base and our domestic energy security. That said, while we are pleased with the results of Solar 3 and applaud the professionalism and the tireless work of the Commerce Department. We're also well aware that the Chinese are shifting production to lower tariff regions in order to take advantage of our trade laws. Trade data published since our previous earnings call, further demonstrates a surge trend of imported sales and modules from certain countries, including Laos and Indonesia, when compared to the same period a year ago. We have no doubt that these Chinese manufacturers are also seeking to establish production and other regions around the world, such as Saudi Arabia, forcing us into a continued game of whack-a-mole. The American Alliance of Solar Manufacturing Trade Committee, of which we are a member, continues to monitor this data. And as noted on our previous earnings call, all trade remedy options remain on the table, including initiating a new anti-dumping and countervailing duty case directed towards those countries where the data is supportive. While it's time consuming and resource intensive, First Solar will continue to engage in trade actions as long as it's necessary to support a level playing field and ensure compliance with existing trade laws. And we will not hesitate to pursue a critical circumstances determination that if imposed, any new tariffs are retroactive. In addition, we, together with like-minded allies and advocates in Washington across numerous industries, not just solar, continue to encourage legislation such as the Leveling the Playing Field Act 2.0., which would combat repeat offenders by making it easier for petitioners to bring new cases where production moves to another country in an effort to evade tariffs, that the level playing field is a key aspect of the Chinese unfair practices playbook. This legislation, which was reintroduced at the end of February of this year and which was bipartisan would also go a long way towards strengthening and monetizing U.S. trade remedy laws and ensuring that remaining effective tools to fight against unfair trade practices and protect Americans. Turning to industrial policy, well ultimately the outcome of the budget reconciliation process will determine the fate of critical supply chain initiatives such as the 45X Advanced Manufacturing Tax Credit and demand side incentives such as the investment in production Tax Credit or ITC and PTC as we continue to engage with the administration and members of Congress on trade and industrial policies. We are encouraged by the response we are receiving on our message. Specifically, we continue to advocate for maintaining these key tax policies, particularly with modifications such as the foreign entity of concern or FEOC provision, which would prevent Chinese companies from receiving U.S. taxpayer dollars. We also continue to advocate for strengthening the domestic content provision to make ITC and PTC eligible contingent on the use of high-value domestic content product produced in America. We believe these modifications to clean energy tax credits would provide significant U.S. government budgetary savings, support the administration's efforts to make the tax cut and Jobs Act permanent, and would represent major steps forward towards mitigating the risk of America's energy supply chain being contracted, concentrated in adversarial foreign countries. We are pleased to see a growing number of Republican policymakers in both the House and the Senate recognize the value of preserving existing tax credits such as 45X and the ITC and PTC. We recognize that these incentives help, in their words, spur new manufacturing investment and ensure certainty for businesses that have already made meaningful U.S. investments. They also recognize that doing so would reduce utility bills for American consumers. The imperative of affordable, reliable electricity for American households and small businesses is top of mind, not just for politicians, but for leaders of American utilities as well. Recent analysis released by the National Electrical Manufacturing Association projected the U.S. electricity demand will grow 50% by 2050 or 2% annually, with data center energy consumption growing by 300% over the next 10 years. In our recent discussions with several CEOs of some of the nation's leading utilities, these leaders recognized the reality of the near term significant growth in the U.S. energy demand, and share our view that solar has a critical place in all of the above power generation strategy, where a diversified portfolio of natural gas, nuclear, hydro, solar, with energy storage, and other technologies work together to power our nation to prosperity. They have shared with us that they are lending their influential voice to continue to advocate for maintaining clean energy tax credits and the transferability provisions associated with them, and doing so will enable greater solar generation deployment more quickly and a lower cost than traditional forms of generation. To help address the immediate power generation need and help mitigate potentially rising ratepayer electricity costs. There's plenty of evidence supporting the case for solar as a prominent component of the electricity generation mix. Texas, Florida, North Carolina, and Nevada. Markets where some of the country's highest level of utility scale solar deployment have consumer electricity bills that were between 8% and 24%, lower than the national average in January of 2025. Well, the new tariff regime has introduced a new source of uncertainty in near term product development timelines, we believe that it is unlikely to significantly impact U.S. load growth fundamentals. As the country's top grid operators testified during a March hearing by the House Energy and Commerce Subcommittee on Energy, there's still an urgent need to not just maintain, but to add capacity to meet significant demand growth. American leadership in AI, cryptocurrency, and reshoring manufacturing needs abundant cost competitive electricity generation. That's a new generation capacity coming online, their risks not being enough electricity to power the strategically important industries to their full potential before the current administration ends. With 92% of the U.S. interconnection queue being comprised of renewables, solar is the fastest form of new generation. The current ITC and PTC regime, which together with domestic content bonus, drives competitive solar PPA pricing and First Solar with its uniquely vertically integrated U.S. manufacturing process that critically features a domestically produced cell supported largely by domestic value chain remains in our view, the vendor of choice to enable development partners to qualify for domestic content bonus, especially with the annually escalating domestic content points requirement. Continued policy uncertainty, including with the new announced universal and reciprocal tariffs may result in delays to some announced domestic wafer and cell manufacturing. Given the multi-year lead time required to build and commission new factories, the uncertain environment gives First Solar the ability to leverage another one of our competitive [indiscernible] delivering on our commitments to our customers. This differentiation is particularly valued by sophisticated developers seeking to secure module pricing and delivery certainty early in their project timelines through long-dated module sale contract. We believe First Solar's established U.S. manufacturing presence provides greater certainty of delivery and pricing when compared to other prospects and speculative sources of supply. Furthermore, given First Solar's profile as a U.S. company, any future domestic capacity expansion would be unencumbered by the prospects of FEOC legislation, a concept based on discussions in Washington DC and elsewhere has been favorably received by certain members of the administration and Congress, and we believe must be factored into capital commitment decisions by the large majority of our prospective domestic competitors. This consideration is particularly predominant in the industry where these competitors are overwhelmingly Chinese owned or controlled. Another factor which may further prevent manufacturers and their financing parties from having the clarity necessary to make capital and investment decisions is the fact that public reporting indicates that the reconciliation process and therefore the fate of existing clean energy tax credits under the Inflation Reduction Act may not be known until late 2025 or perhaps not until some point in 2026, particularly if the scenario where addressing tax policy is delayed to a second reconciliation bill. The impact is compounded when you further consider the fact that the Section 45X manufacturing tax credit begin to phase out at the end of the decade, reducing the window of availability for these credits for factories that are not operating. Our industry leading established U.S. presence provides further competitive advantages under the current tariff environment. Over the past several years, we have invested heavily in a largely domestic supply chain, particularly as it relates to high value aspects of our bill material such as glass and steel, where we have entered into long-term contracts with domestic suppliers. It is our estimation that any new crystal and silicon competition would likely have to import significant aspects of their bill of material to support U.S. production, particularly with respect to pattern glass, which currently does not have any domestic source of supply, and aluminum, which is domestically supply constrained and priced at a significant premium to imports. In a rational market, these [bomb] [ph] cost increases would be expected to drive higher pricing for domestically produced competitive products. In summary, while we are facing unanticipated near term challenges following the imposition of the April tariff regime, we remain confident in the long term prospects for First Solar in terms of the U.S. solar energy demand and First Solar's ability to leverage its unique profile and competitive differentiation to serve this demand. Through this confidence, we must be tethered to the continued enforcement and strengthening of the U.S. trade laws and supportive of industrial policy given the irrational and illegal Chinese trade practices. This confidence is based on our profile as America's largest and most established domestic solar module manufacturer. It's only fully vertically integrated producer. Our significant network of domestic supply chain vendors, our proprietary Cad-Tel-based semiconductor that is not beholden to the Chinese crystal and silicon industry, and our ability to enable prospects -- aspects of the administration's platform of reshoring American manufacturing and supporting the powering of the next generation of critical industries. I now turn the call over to Alex, who will discuss shipments, bookings, Q1 financials and guidance.
Alex Bradley : Thanks, Mark. Beginning on Slide 5. As of December 31, 2024, contracted backlog totaled 68.5 gigawatts with an aggregate value of 20.5 billion, or approximately $0.299 per watt. Q1 we recognized sales of 2.9 gigawatts and contracted an additional 0.5 gigawatts of net bookings, resulting in a quarter end contracted backlog of 66.1 gigawatts with an aggregate value of 19.8 billion or approximately $0.30 per watt. Since the end of the first quarter, we've entered into an additional 0.2 gigawatts of contracts, increasing our total backlog to 66.3 gigawatts. Of this total backlog, as Mark previously mentioned, 13.9 gigawatts as of today and forecasted 12 gigawatts by year end 2025 are under contracts containing provisions that if invoked by First Solar at its discretion, serve as a circuit breaker prevent meaningful gross margin erosion in a tariff regime scenario such as was announced earlier this month. Given that we're only in the initial stages of engagement with our customers on any tariff-related impacts to these contracts, all of these agreements remain in place and are included within our backlog as of today's call. A substantial portion of overall backlog includes the potential to increase the base ASP through the application of adjusters contingent upon achieving milestones within our current technology roadmap by the expected delivery date of the product. At the end of the first quarter, we had approximately 32.5 gigawatts of contracted volume with these adjusters, which if fully realized could generate additional revenue of up to approximately $0.6 billion or about $0.02 per watt, with the majority of this revenue expected to be recognized between 2026 and 2028. Contracted volume associated with these adjusters are reduced to approximately 4.6 gigawatts since the previous earnings call. Approximately half of this is due to adjusters being confirmed with the associated change to the contracted backlog. The remainder has been removed as a function of the expiry of contractual notification periods, as well as an expected delay in the timing of CuRe conversion in Vietnam following the new tariff announcements. This figure does not account for potential adjustments that apply to the total contracted backlog, including potential changes to the ASP based on the specific module bin delivered to the customer, as well as fluctuations in sales freight costs or applicable aluminum and steel commodity prices. As reflected on Slide 6. Our total pipeline of potential bookings remains strong, with bookings opportunities of 81 gigawatts, an increase of approximately 0.7 gigawatts since the previous quarter. Our mid to late stage bookings opportunities have increased by approximately 2.6 gigawatts, 2.7 gigawatts to 23.7 gigawatts, including 17.3 gigawatts in North America and 6.1 gigawatts in India. Increase in our mid to late stage bookings opportunities is primarily driven by increased demand in India from the PM custom segment, the government funded initiative to add solar to distribution feeders supplying power for agricultural pumps. Launched in 2022, the scheme aims to add approximately 30 gigawatts of solar capacity by March 2026. Recently, several Indian states have allocated substantial capacities to developers under this initiative. The requirement to use modules with India-made cells allows First Solar's locally manufactured Series 7 modules to qualify for deployment in this scheme. A mid to late stage pipeline includes 3.8 gigawatts of opportunities that have contracted subject to conditions precedent. As a reminder, signed contracts in India will not be recognized as bookings until we've received full security against the off-take. Being on Slide 7. I'll cover our financial results for the first quarter. We had 2.9 gigawatts of module sales in Q1, of which 1.75 gigawatts was domestically produced U.S. volume. This resulted in net sales of 0.8 billion, reflecting 0.7 billion decrease from the previous quarter. Decrease in net sales was due to an anticipated seasonal reduction in the volume of module sold during Q1. Gross margin was 41% in the first quarter, up from 37% in the prior quarter. This increase was primarily driven by high mix of modules sold from by U.S. factories, which qualified as Section 45X tax credits, as well as the difference in IRA credit valuation between periods partially offset by higher module production costs of domestic U.S. module volume. Despite the quarter-of-quarter increase, our Q1 gross margin fell below our forecast. Although, we met our guided shipment and revenue numbers, a mix of U.S. made modules sold to approximately 250 megawatts less than expected at the midpoint of our guidance, with a corresponding reduction in IRA section 45X credit recognized. Approximately half of the shortfall was driven by both lower than anticipated U.S. production in Q1, as well as the timing of sale of CuRe products from our limited production run, which concluded in Q1, which is now forecasted to sell in the second quarter. The remainder resulted from shipping challenges in the final weeks of the quarter, and note as we continue to work through both the impact and module shipment schedules from our previously discussed and resolved Series 7 manufacturing issues, as well as typical early year seasonality, approximately 70% of our volume sold in the quarter was recognized as revenue in March. We did not incur any additional warranty charges from the sale of Series 7 modules affected by manufacturing issues, and as of Q1 quarter end, we continue to hold approximately 0.7 gigawatts of potentially impacted Series 7 modules in inventory. In addition, during the quarter, we began reaching agreements in principle on final resolution for some potentially impacted Series 7 modules from our initial production run consistent within our current warranty reserve. Furthermore, as an additional update, an independent analysis and review of the root cause, corrective actions and implementation plan for the manufacturing issues in our initial Series 7 production has been completed. Summary of the results of the independent review have been shared with customers and financing parties. SG&A, R&D and production startup expenses total 123 million in the first quarter, reflecting an increase of approximately 12 million compared to the fourth quarter. This increase was primarily due to a higher reserve potential credit losses as a function of an increased accounts receivable balance, as well as increased production startup expenses for the ramp up of our Louisiana facility. Our first quarter operating income is 221 million, which includes depreciation, amortization, and accretion of 126 million, ramp under utilization costs of 20 million, production startup expenses of 18 million, and share-based compensation expense of 3 million. Non-operating income netted to an expense of 4 million in Q1, which was favorable relative to the fourth quarter by approximately 6 million. This increase is primarily driven by higher interest income from past due payments on accounts receivable from customers. We recorded tax expense of 8 million in the first quarter, compared to 53 million in the fourth quarter. This decrease in tax expense is primarily due to a favorable jurisdictional mix and lower pre-tax income in the current period. Additionally, there were high reserves for state taxes in the comparative period for jurisdictions that do not adhere to the federal tax provisions of the IRA regarding the tax exemption of Section 45X credit sales. Combination of the aforementioned items led the first quarter earnings per diluted share were $1.95. Next, turn to Slide 8 to select balance sheet items and summary cash flow information. Total balance of cash, cash equivalents, restricted cash, restricted cash equivalent of marketable securities was 0.9 billion at the end of Q1, reflecting a decrease of 0.9 billion from year end. The first quarter saw a decrease in our cash balance accompanied by an increase in accounts receivable and inventory accounts compared to year end 2024. The change was driven by several anticipated factors. Firstly, our 2025 shipment profile with its back ended revenue profile assumes continuous production throughout the year to meet our contracted commitments. This profile results in a transitory working capital imbalance leading to an increase in our finished goods inventory and warehousing costs, thereby creating near-term headwinds to our gross cash. Pending any potential impact international production as a function of the new tariff regime, which I'll discuss shortly in the guidance section, we expect this trend to continue in the near term, but anticipate it will reverse once our shipments increase in the second half of the year, reducing our inventory build. Secondly, we've seen an increase in our overdue accounts receivable balance of approximately 350 million as of quarter end. Within this is approximately 70 million due from 1.8 gigawatts of terminations, primarily due to default in 2024. We've not received the entitled termination payment and are continuing to pursue litigation or arbitration to enforce our full termination payment rights under the respective contracts. In addition, a negotiated settlement with the customer following a payment default has deferred approximately 100 million of payments until Q4 of this year. While this deferred payment is fully backed by surety bond and carries interest that is accreted to the year, it nevertheless creates an additional near term liquidity imbalance. We've also seen a recent increase in overdue AR as a function of ongoing discussions with customers related to the initial Series 7 manufacturing issues last year. Thirdly, our capital expenditures totaled 206 million in the first quarter. This expenditure is primarily related to our newest facility in Louisiana, which is projected to end a startup in Q3 of 2025 and to ramp production through the second half of this year. Accordingly, our net cash position decreased by approximately $0.8 billion to $0.4 billion as a result of the aforementioned factors. Before discussing our updated financial outlook, I'd like to comment on the challenges facing us as it relates to providing operational and financial guidance in the current policy and trade environment, particularly with the imposition of the new universal and reciprocal tariffs early this month. Please turn to Slide 9. When we provided our initial full year 2025 guidance on our earnings score in February of this year, we provided context, including related to risks in 2 key areas. Firstly, the risks of policy uncertainty in Europe, India, and the United States, especially in the U.S. with regards to tariffs and the ongoing budget reconciliation process and its potential impacts on the IRA. And secondly, our imbalanced supply demand position where excluding India we were cumulatively oversold through 2026, but with an undersold position in 2025 for our Series 6 Malaysia and Vietnam production driven in large part by 2024 contract terminations, the module delivery shift rights in 2025 utilized by customers facing project delays and policy uncertainty. Policy uncertainty relating to the budget reconciliation process and the IRA remains. Policy impact and uncertainty relating to tariffs has increased significantly. The recently announced tariffs directly and adversely impacts First Solar in multiple areas, including by increasing capital expenditure costs for our new U.S. factories, increasing U.S. factory production costs, adding significant costs to import finished goods to the U.S. from Malaysia, Vietnam, and India facilities, and therefore potentially driving reduced international factory production, which leads to increased underutilization expenses. They also indirectly increase risk and volatility for First Solar through their impacts to our customers who face increased project costs and project financing and construction delays, which may in turn cause shipment timing delays for First Solar, delays in timing of cash receipts may reduce new sales opportunities for us in the near term. We've elected to update our financial guidance with ranges based on expected impacts from the new tariff regime. For the upper end of our range, we assume the impacts from the tariff policy in place as of today's call remaining through at least the end of 2025. Including the 10% universal tariff rate, the suspension of individual country reciprocal tariff rates on all countries except China. Higher tariff rates applicable to certain products from China. Certain tariff exclusions for specific HTS imports codes, Section 232 tariffs on steel and aluminum imports, and Section 301 fees on Chinese-built vessels. The lower end of our range assumes the above with the addition of including the impacts from the assumption that reciprocal tariffs take effect as of July 9, namely 26%, 24%, and 46% applicable to India, Malaysia, and Vietnam respectively. Tariff and cost sharing provisions across our contracts with both customers and suppliers vary, and while currently reflected in our guide, we'll continue to engage with both to assess tariff exposure allocation and ultimate cost and other related impacts. Certain other potential indirect and or unknown costs related to these tariffs including, but not limited to costs associated with any restructuring or asset impairments are excluded from our guidance provided today. [indiscernible] volumes sold, our forecast for 9.5 to 9.8 gigawatts of sold volume manufactured in the United States remains unchanged. Internationally, as it relates to Series 6, our previous guidance included an assumption of approximately 0.7 gigawatts of combined Malaysia and Vietnam products forecast to book and bill within the year. Given the tariff-related uncertainty associated with solar project's overall CapEx and the challenges of booking new volume in the current unsettled policy climate, our updated guidance removes this volume from both the high and low end of the range. In addition, both the high and low end of our guidance ranges see a reduction in capacity utilization and throughput at our Malaysia and Vietnam factories beginning in Q2 to align with anticipated reduced demand for these potentially highly tariffed modules. The low end of our range includes an assumption of partial or full idling of these plants continuing through year end. We continue to evaluate how best to optimize production across these sites in a potentially significantly reduced demand environment for internationally produced products, including through ongoing dialogue with customers. Temporary idling of production, despite the near term underutilization cost impact, approximately 40% of which is non-cash, provides us with optionality as we await further updates to the tariff regime as it relates to Malaysia and Vietnam, as well as the outcome of the budget reconciliation process and any impact to the IRA. So, it relates to International Series 7. We previously forecasted approximately 2 gigawatts of the 3 to 3.2 gigawatts of India production in 2025 being sold into the U.S. market. Our revised forecast assumes total production in India is unchanged, but the reallocation of approximately half of this 2 gigawatts back to the domestic India market in the second half of the year to avoid expected tariff impact. This results in an increased domestic India book and build dependency for the year from approximately 0.7 gigawatts previously to approximately 1.5 gigawatts in our current guidance. Combined, we now forecast fully in module sales of 15.5 to 19.3 gigawatts. Combined impact of these volume and ASP changes is approximately 100 million to 375 million. In terms of import duties on finished goods, we forecast approximately 90 million to 70 million of tariff expense on module imports. As it relates to production costs, the impact of the previously announced Section 232 tariffs on aluminum and steel imports into the U.S. at a rate of 25% was assumed in our previous guidance range. With the newly announced tariff regime, we forecast a total 2025 tariff impact on raw material imports of approximately 25 million to 55 million, primarily related to aluminum frames and substrate glass imports as we continue to ramp available domestic glass supply. Our forecast of fleet average sales rate, warehousing, ramp, and utilization, supply chain LDs, and other period costs has increased by approximately 65 million to 270 million, primarily as a result of underutilization charges from running the Malaysia and Vietnam factories at lower than full production capacity and the associated impact from under-absorption of fixed costs, which are accounted for as period expenses. In addition, we expect small incremental freight and logistics charges as a function of accelerating imports ahead of the reciprocal tariff effective date of July 9, as well as due to expected 301 tonnage fees on Chinese built vessels beginning in Q4 of this year. I'll now cover the full year 2025 guidance ranges on Slide 10. Our net sales guidance is between 4.5 billion and 5.5 billion, which includes an unchanged range of U.S. manufactured volumes sold. The high end of the range, we assume a reduction of 300 million from the removal of 0.7 gigawatts of international Series 6 volume sold, as well as the lower ASP associated with approximately 0.8 gigawatts of India produced Series 7 volume, moving from being sold in the U.S. market back to being sold in the India domestic market. At the lower end, we assume an additional reduction in international volume sold as a function of the reinstatement of reciprocal tariffs. Gross margin is expected to be between 1.96 billion and 2.47 billion, or approximately 44%, which includes 1.65 billion to 1.7 billion of Section 45X tax credits, and 95 million to 220 million of ramp and underutilization costs. SG&A expense is expected to total 180 million to 190 million, and R&D expense is expected to total 230 million to 250 million. SG&A and R&D combined expense is expected a total of 410 million to 440 million, and total operating expenses, which include 60 million to 70 million of production startup expense, expected to be between 470 million and 510 million. Operating income is expected to be between 1.45 billion and 2 billion, implying an operating margin of approximately 35%, and inclusive of 155 million to 290 million buying ramp and utilization costs startup expense, 1.65 billion to 1.7 billion of Section 45X credits. This results in a full year 2025 earnings diluted share guidance range of $12.50 to $17.50. In summary, the upper end of our EPS guidance range is reduced by $2.50 per diluted share, which includes approximately $1 per share of direct tariff cost impact, approximately $1 per share of indirect tariff impact to volume sold in ASPs, approximately $0.50 per share of indirect tariff impact increasing underutilization of logistics costs. The EPS guidance ranged from high to low of $5 per diluted share. It's driven by a volume sold impact of approximately $3 per share and incrementally underutilization costs of approximately $2 per share. From an earnings cadence perspective, we anticipate module sales of 3 to 3.9 gigawatts for the second quarter, 310 million to 350 million in Section 45X credits, and expected earnings per diluted share of between $2 and $3. Capital expenditures in 2025 are expected to range from 1 billion to 1.5 billion, including 25 million to 50 million of tariff impact. Our year-end 2025 net cash balance is anticipated to be between 0.4 billion and 0.9 billion. As a reminder, our net cash guidance does not account for the sale of our 2025 Section 45X credits, but as in prior years, we will continue to evaluate options and evaluations for potential earlier monetization. So, in Slide 11, I'll summarize the key message from today's call. Our Q1 earnings for diluted share came in below the low end of our guidance range of $1.95 per share, primarily due to a change versus forecast in the mix of U.S. versus international products sold within the quarter. Our forecast for U.S. produced volume sold remains unchanged for the year. In the near term policy uncertainty, especially relating to the newly announced tariff regime, has introduced significant challenges to the year that were not known at the start of the year. We've updated our guidance to reflect the range of universal to reciprocal tariff impacts known as of today. For the full year 2025, we're forecasting earnings by diluted share of $12.50 to $17.50. In the longer term, we remain confident in the long term prospects for both the U.S. solar energy generation demand broadly and for First Solar specifically through leveraging our unique profile and competitive differentiators, including fully vertically integrated manufacturing, domestic supply chain, a manufacturing base, and the proprietary Cad-Tel-based semiconductor technology. With that, we conclude our remarks and open the call for questions. Operator?
Operator: Thank you, sir. [Operator Instructions] We'll take the first question from Philip Shen, ROTH Capital Partners.
Philip Shen: Hi everyone, thanks for taking my questions. I have a few categories here. First one on the outlook for bookings. In Q1, you guys did 600 megawatts since the Q4 call at $0.305 a watt. Since the tariffs, what have the conversations been like with customers? Have you been able to do or generate bookings or have things slowed down because of the tariffs? Number two, this topic is the recent underperformance of the modules. Can you just share a little bit more about what's going on here? You talked in the prepared remarks about the third-party report on the production line fixes. Can you share a little bit more about the details? And thus far, you've been focused on the Series 7 issues. But in our checks, some customers are flagging some underperformance of Series 6. So, can you help frame the -- and quantify the Series 6 issues as well in comparing contrast with Series 7. And then finally, when do you expect customers to start taking more smooth delivery again? Because I recall from the last earnings call, you have a new $200 million to $300 million warehousing expense and so I was wondering, because you're manufacturing linearly, when do you think that kind of resolves? Do you think it's more 2026 and we should expect that to maybe not resolve in 2025? Thanks guys.
Mark Widmar: Okay, Phil. Look, I guess, on the bookings side and then the impact in the tariffs. Clearly, there's been more momentum and customers reaching out even some -- we've done some amount of business with in the past, but haven't necessarily sold meaningful volume to over the last couple of years. Again, there's 2 events that have happened. One is the Solar 3 outcome. The other is the universal tariffs and potential implications that they're going to have as well as looking across the horizon, what are the reciprocal tariffs look like. And I think everybody is trying to figure out how do they get through this horizon and try to de-risk as much as they can from tariff exposure. So First Solar, obviously, given our domestic capacity is kind of a partner of choice when it comes to that. So clearly, activities [picked up] [ph]. I mean the question we still have to debate and discuss is what do we think is the appropriate market ASP for that opportunity. And really, we don't know until we understand to what extent there's any potential impact or changes because of the budget reconciliation on IRA. If FEOC is implemented and there's less domestic supply, as an example, if 45X is changed or eliminated, that impacts things. If the PTC, ITC has changed or it includes the domestic content requirement in order to qualify, it changes. So we're still of a position to be very patient in that regard. And given how strong our bookings have been for our domestic volume, it's not like we have a lot of resiliency either there. So to the extent customers are wanting to engage for near-term opportunities, it's really difficult to have a meeting of the mine there because you'd be more or less looking at the international production and trying to bring that into the U.S. and then there's a whole day of debate that starts on what -- how are we going to deal with the tariffs, who's taking the risk and everything else, right? So clearly strong momentum, but we're also trying to be very patient, because it's not clear yet to what is the pricing dynamic going to look like for domestic modules over the next several years until all the dust settles and there's still a lot that will happen over the next several quarters. As it relates to Series 7, and your comment around the performance,, we said in the prepared remarks that we have completed, as we indicated we would, the third-party report, third-party report has validated that the root causes were identified appropriately and the appropriate corrective actions have been implemented into our production process effective back last year when we indicated the changes had been made and that information has been shared with customers who have made inquiries that is being shared with IEs and banks and others who need that type of information. As it relates to -- we also said in the prepared remarks that we have reached -- we're effectively in the final documentation of a settlement agreement with one of the customers that was impacted by the initial production loss for Series 7, and we're in the process of finalizing that agreement with them. There's another customer as well that we're in the final stages of. So that's good news for us. We're starting to see the settlement starting to occur, and that's helpful, right? Because we want to get as much of this behind us as quickly as possible. Your comment about around S7 is still my -- or S6, excuse me, my comment is the same thing I said last quarter when you asked the question, we will always stand behind our product to the fullest extent that's required under our warranty obligation that we mutually agreed to with our customers at the time that we ship the product. It starts with the requirement of sending us the modules, and we will test the modules appropriately under the requirements that are consistent with the IAC standards that both parties have agreed to, and to the extent those modules are below warranty thresholds including measurement error and few other things, then we'll honor the obligation to replace the module. So, it's as simple as that. I know you continue to ask this question, but from my standpoint, we will always be there behind our product and our technology. And if there are issues that are -- customers are experiencing in the field, they're fully aware of the requirements and to the extent they provide the modules, we'll test them appropriately and if there's a need to remediate where we remediate accordingly. As it relates to customer deliveries and the cadence and the speed. I would say is that it's really also directly associated with uncertainty. And since the last earnings call, the uncertainty has clearly gotten worse with the implication at the project level. And as you know, Phil, the impact on batteries, in particular, with the tariffs that most of the cells are coming from -- battery cells are coming from China and the rate of which those tariffs are being applied, make those projects potentially uneconomical. So as it relates to our customers having better line of sight and certainty and execution, it's only gotten worse. So, I would not expect a meaningful delta in terms of sell-through or timing of velocity of shipments to our customers because of that level of uncertainty. We'll see how it continues to play out, but that's what's happening right now.
Operator: Our next question is Andrew Percoco for Morgan Stanley.
Andrew Percoco: Thank you so much for taking the question. I wanted to pick up kind of where you left off there. Just a little surprised I guess to see the level of volume downside in the guidance this quarter. Obviously, understanding that there was going to be some any margin headwinds just given your international presence, but the volume piece is I guess, a little bit surprising here. So just curious, like, can you provide any more details around the conversations you're having with your customers? Is it to your point, mostly because of the battery storage supply chain? Or are there other kind of factors here contributing to that? I guess as a follow-on question, how much of the remaining volumes that you're delivering this year, expected to come from your U.S. facilities versus international, I guess, is a way to kind of test the risk there. And then my last question is just around, Alex you mentioned working capital headwinds in the first half of the year. Have you changed your strategy or thought process around tax credit transfer timing or potential need for third-party capital just given the uncertain environment that you guys are operating in?
Mark Widmar: Yes, I'll take the first one, and then I'll let Alex do the mix of shipments for our guide on international versus domestic. And then obviously, you can talk about thoughts on working capital headwind strategy associated with that. Let me -- maybe you want to step back and reflect. So what have we done in terms of our guide. And I would start off with that, our guide is very much reflective of realization of tariffs are real, and they have consequences, right? And we're in an environment where we run our factories 24/7 365. And I have to be mindful and follow basically what has been communicated. Right now, what I'm being told is that there will be a 10% universal tariff in place up until July 9. And at that point in time, the country-specific reciprocal rates would be reestablished. And when you look at the impact of those rates using Vietnam as an example, of 46%. It becomes uneconomical to ship a product with a 46% tariff into the U.S. and be able to sell that to an end customer, and our contracts with our customers are structured in such a way that the vast majority of them, there is a tariff provision in there, which is largely to protect us from a downside standpoint, right? It's basically to say, we're not wearing that risk, but neither is our customer. And we -- so we have to negotiate once the impact of the tariffs have been determined. We have to negotiate that rate in determining if there's an alignment of sharing or who pays for what, or if neither party can -- if the parties can't agree to a negotiation of sharing that tariff and the parties have the right to terminate. And so we've reflected that in our guide. The high end assumes that the 10% rate is going to carry itself through the end of the year, right? And there is an impact to us, but from a volume standpoint, there's about 700 megawatts that came out of our prior guide. And that was just the open book and build volume that we had. So, we had some international volume that we actually were getting pretty good traction on over the last couple -- or first couple of months of the year. And then the tariffs came and like nobody wants to go into that discussion because nobody knows for certain what the rates are going to be and what risk they're going to wear and neither one of us want to align to a commitment to that volume, knowing that the reciprocal rates go back up for Malaysia and Vietnam, that the product becomes uneconomical. So, we took that volume out of the high end. So that's what happened there, right? The low end of the range assumes that we have the reciprocal -- excuse me, the universal tariff until July 9 and then the country specific reciprocal rates go up. So, once you get into that environment, basically, we're not shipping manufacturing anything in the second half of the year in Malaysia, Vietnam and selling it into the U.S. So, it's really -- it's not necessarily a reflection of underlying demand from customers, it's a reflection of the fundamental economics and the headwinds that we would have to deal with. Now having said that, that's our guide. We have not engaged yet meaningfully with customers around the impact of tariffs. Some conversations that I've had with customers at this point in time, for example, in 2026. And I've told them that it's probable with the current proposed reciprocal country-specific rates that I will not be manufacturing in Malaysia and Vietnam at those rates were to be imposed. And they are very concerned by that because now they have volumes they're depending on for next year that they may not have modules that they can build their projects again. So, I can't tell you for certainty what the outcome of these tariff conversations were going to be. We've chosen to say let's assume that the fundamental economic for First Solar is not going to be able to carry a meaningful portion of those tariff rates, which would be, call it, $0.10 in Vietnam and $0.05 to $0.06 of tariff impact in Malaysia, we just aren't going to be able to absorb that. It doesn't make -- fundamentally makes sense to do that. Now, we could get to a better outcome with our customers. We could also see a better outcome with revised rates on those country-specific rates, don't know. That's also why we've chosen to just idle the facilities in the second half of the year to understand what happens with potential change to the current country-specific rates, also to understand what happens with the provisions underneath the IRA that could be very impactful to how we would view that international volume and potentially bring it in or potentially doing a finishing line in the U.S. There's a lot of strategies that we could do once we understand the policy environment and the tariff environment that we're going to be in, but I don't know any of that right now. So, our guide is taking the limited information that we have, applying that and it does reflect a meaningful reduction to volume in the low end for sure. Top end, it's relatively small 700 megawatts, which is the open book and build position that we had. Bottom end, yes, there's a meaningful change, just because our view with the reciprocal country-specific tariffs, it becomes uneconomical to manufacture in Malaysia, Vietnam and ship into the U.S. I'll let Alex take the other 2.
Alexander Bradley: Yes. So just on the volume piece. The U.S. volume or U.S. manufactured volumes sold is unchanged. So that's 9.5 to 9.8 gigawatts, same as it was at the last call. The total India volume sold remains the same, 3 to about 4 gigawatts, 3 to 3.9. What's changed there is the assumption that more of that will now be sold in the India domestic market versus being shipped from India to the U.S. and sold into the U.S. market. The total volume of sold is unchanged. So, the big change is around the Southeast Asia production in Malaysia, Vietnam. As Mark said at the top end of the range, we're assuming 700 megawatts comes out, and that's the book-and-bill requirement that we had for the year. At the lower end, we're assuming 2.5 gigawatts comes out in total, so an incremental 1.8 on top of that 700. And again, as Mark mentioned, that's really a function of the implication of those tariffs to the cost structure before we've yet engaged with customers around tariff absorption on that behalf. So, that's the volume piece. Now on the cash side, so we brought the cash guide down by 300 million on the top and the bottom end. We brought that range of CapEx to be wider. So previously, 1.3, 1.5, now 1 to 1.5 billion is a reflection of, again, if we are in the lower end scenario of the guidance here, we're going to ratchet back CapEx spend a little bit. The cash numbers are lower than they have been historically. We are managing higher inventory and higher IRA balances than I would like at the moment. Those are forecast to reverse out in the second half of the year, again, assuming we continue to sell through in the scenarios we place today, and we don't have other shock to the system, such as we saw with the tariff implications. Remember, these are net numbers, not gross numbers. So on a gross basis, that guide would be 0.9 to 1.4, so 500 million higher. You asked about the credits. We have not sold our 2025 credits, and we said before, we'll continue to engage with the market. If we get a discount that I think is appropriate for the valuation for us, so we can then buy -- sell those credits, have cash come in quickly, but that cash in the bank have an interest income on that such that I'm effectively economically neutral to holding those credits and going for refundability, then we will look at potential sales. We've also said before, I think it's a pinhole risk, but in an IRA risk environment, having sold those credits and received cash even though we would still bear the ultimate risk around any refusal to honor those credits by the IRS, we'll be in a better position with the cash being on our side of trends versus on the side of the government waiting for payment to come through. So, the credit facility there, we generated 300 million in Q1, about another 300 million forecast in Q2 that use about $1 billion of credit generation in the second half of the year. And then we also have an untapped revolver. So, we've got $1 billion of revolver capacity. We have used this previously to manage jurisdictional cash. It is easier to move money back from the international regions to the U.S. than it was prior to the 2017 tax reform, but it still doesn't come without some constraints on costs. So if we need to manage jurisdictional cash, that's something we can draw in the near term as well.
Operator: The next question is Kashy Harrison, Piper Sandler.
Kashy Harrison: Good afternoon and thank you for taking the questions. So, if we find ourselves in a situation where the final tariffs from Malaysia, Vietnam are 30% versus 20% versus 10%, can you help us think about what you do with those assets? Is there an ability to bring some of that equipment to the U.S. for more U.S. manufacturing? And then maybe how can we think about the deposits that currently are on your balance sheet that relate to the 12 or so gigawatts that you outlined in the prepared remarks?
Mark Widmar: All right. I'll let Alex take deposit question. In terms of -- Kashy, there's a lot that we can do with those assets. And it's a matter of understanding the environment of which we can optimize against, right? So look, like I said, there's a couple of 3 key provisions included in the IRA that we're very obviously interested in and wanting to see what happens with. One is the foreign entity of concern and what the implications are of that, that could meaningfully adversely impact the ability of Chinese owned and controlled companies to operate here in the U.S., which is meaningfully change the domestic supply chain, right? So, that's important. The other is what happens with the 45X. And is it -- does it say as currently envisioned, does it change? There's lots of ways it could change. It could change to the point of redistributing value to move some of the value of the $0.17 more upstream to minimize the value just on the module assembly, which, therefore, creates opportunity for a more robust valuation allocation towards technology, right? The requirement of a domestic content ITC, PTC that could change as well. And what that means once we know that, we can say, well, how are we going to optimize these assets, right? And there's one path, as you mentioned, could be bringing them into the U.S., redeploy them, maybe a more efficient and easier to market strategy could be is to do front-end processing in Malaysia, Vietnam and back-end finishing in the U.S. And therefore, when I'm bringing my module or my component, declared value of my component, maybe it's 50% of the value of the module. Therefore, I'm taking the impact of the tariff and cutting it in half. And I could put finishing line, for example, on the West Coast, where I don't have an operation today. And I can bring product into the U.S. more economically, because shipping into the West Coast is cheaper than it is shipping to the East Coast. And I don't have a presence here today, right? And if there's still some value of the 45X, now I got a 45X value because I'm doing finishing here in the U.S. as well. So, there's lots of things that we can do. And also when you do a semi-finished product, you actually can reduce your sales rate, because you're getting more seats of glass into a container because you don't have a frame and a junction box and all that kind of stuff, right? So there's a lot that we can do that can optimize those assets. And obviously, the talent of the associates that we have in those facilities. But I don't know the strategy yet until I know what becomes enduring post budget reconciliation. So once we know that, we know what game we have to play and we know what levers that we're going to go after, but where we sit today, there's a lot of uncertainty.
Alexander Bradley: Yes. Kashy, on the deposits, so we said by year-end, we'll have about 12 gigawatts in the backlog that has these tariff revisions that could be theoretically at risk. If you look at that, it's somewhere in the region of $3 billion of revenue. And if you look at the average deposit we have in the backlog, I mean, there's $1.9 billion against the numbers that we showed is about 10%. So in theory, you've got about $300 million that could be at risk. A couple of things I would comment on. One is we've yet to engage with many customers, as Mark mentioned earlier, especially those are projects in the near term. I think many customers are going to want this product. They don't want to cancel. They're trying to work through and find ways to make this tariff situation works for them. The second is, although we're near term constrained with domestic product, if the contracts are further out, and we have the ability to supply domestic contract, those can always be flip if we wish to do so.
Operator: And our next question comes from Brian Lee, Goldman Sachs.
Brian Lee: Good afternoon and thanks for taking the questions. I had 2. A lot have been covered here. But I guess on the guidance, just wanted to understand kind of the strategy here. At the high end, Alex, Mark, you mentioned 1.8 gigawatts from Southeast Asia. They're still included even with the 10% universal tariff. So, I guess is the approach you're just taking lower margin there for this year? Or are you actually planning to pass some of those costs on and that's why you're keeping it in the high end of the guide. And then just curious, as it relates to, I guess 2026 volumes from Malaysia and Vietnam, is 10% tariffs remain like -- is the plan to adjust contracts? Or is it just going to be a lower margin volume base for you? And then the second question for you, just kind of a follow-up to the earlier question around module finishing capacity. I think you had mentioned Mark, you're already assuming some volumes for excess finishing capacity in the U.S. coming from Vietnam and Malaysia. Can you remind us what that is for this year? And then I know the gating factor is policy, but what -- what sort of the time line and cost to maybe match up finishing capacity in the U.S. with the Southeast Asia capacity, if that's what you added up decided to do?
Alexander Bradley: So Brian, on the guidance. So the strategy we've taken is on the high end, we're assuming 10% tariffs. And right now, the numbers that you're seeing are assuming that those would be all for us in our financials. Now that isn't going to be our approach and strategy with customers are going out and have discussions. So, we've represented the numbers that way for now until we are going to have those discussions. We do have some inventory that is in the U.S. prior to the tariff announcements. We have some that was on the water that will come in ahead of the tariff effectiveness given that there's a window to get product in and some that was already made and therefore, it is worth bringing in here at the 10% rate versus holding it in Malaysia, Vietnam, pending uncertainty in the future. So, we will have some products in here. We'll go and have discussions with customers around the tariff applications of that. As it relates to 2026, I think it's too early to say what we would do. As Mark commented, there's a lot of optionality that we have around those plants once we understand what the rest of the policy environment looks like. But right now, there's just too much uncertainty to make a call.
Mark Widmar: Yes. And I would say this, Brian, as it relates to the -- yes, we are doing some of it this year. Most of it, 2/3 of it has already happened. And so we don't have a lot yet currently in the second half, but we're evaluating potentially expanding it depending on how the conversations with customers go. And if we get good clarity around the need for the volume, we would look to bring more of that into the U.S. as a semi-finished product and then finish it here in the U.S. and then obviously deliver -- obviously, better economics. So, that's something we're looking at. But again, we're somewhat constrained in doing that just because of what capacity we have, but there's still a reasonable amount of volume we can bring in yet contingent upon demand from customers. In terms of getting that finishing line up and running, it's somewhat contingent to the having a building. So, let's assume we find a building. And for a finishing line, it's not as challenging or complex of a specification as a full length production facility for us, and then you got obviously move the tools. So, you're probably within, call it 9 to 12 months if everything goes well from the time of making a decision. It's a matter of the timing when you're willing to lean into that decision. And it's going to be contingent upon that reconciliation process and how quickly it gets done. That's going to be the gating factor. And depending on what your scenario is on that, that could be late Q3 or into Q4.
Operator: Everyone, our final question today comes from Julien Dumoulin-Smith, Jefferies.
Julien Dumoulin-Smith: Hey, good afternoon, thank you very much for the time, I appreciate it. Thanks for covering so much. Just following up a little bit on the 12 gigawatts guys. You -- just relative to the 66 gigawatts of backlog that we're talking about, how do you think about the re-pricing risk on the balance here? I just wanted to kind of go back and make sure that we firmly heard you with respect to tariff contract reopeners or other change of law considerations here that if you take the 66 minus 12, if you think about -- any other permutations, whether it's tariff, AD, CVD, or frankly, just changing how you're supplying the mix of U.S. versus foreign, how you think about re-striking or re-pricing any of these contracts beyond the 12 gigawatts identified here. And even within the 12 gigawatts, if you can speak a little bit more. If you do the finishing lines, is that a de facto holding your commitment in contract terms such that they aren't reevaluated? Or is that the 12 gigawatt decision tree here effectively -- is the 12 gigawatts effectively going -- the decision tree on the finishing line effectively going to be done in partnership with your contract, your customers?
Mark Widmar: Yes. So as it relates to the remaining 54 gigawatts or so of volume, there's no re-pricing risk on that. That is either it's essentially all domestic product for the U.S. There may be a little bit in there for India, but India mainly falls through as a contract is subject to CP, because we don't book it until -- until we have the security. So if there's any amount of India, there's de minimis. So it's really for all domestic product that will be delivered over the next several years as we increase our capacity up to 14 gigawatts. So there's no -- there's no real re-pricing risk on the balance. The 12 gigawatts is -- it will be 100% tied to the conversations that we have with customers. And as indicated, it's the one example, talking with a customer for delivery in 2026, yes. As I told them, I said, look, as of right now, if the reciprocal tariffs were to be put in place, I will not have product for you. And then they immediately reacted, well, what do I do with it? And do you have domestic supply for me? And the answer is no, I don't. And so -- and I can't get quick capacity that would be able to full -- fill that gap other than a finishing line, but I can't make the decision on the finishing line until I have an understanding of what the IRA profile is going to look like, right? So what that means is that assuming there's some flexibility to the country-specific rates and Vietnam comes down from 46% to some more manageable number maybe in the 10% to 20% range. And then there's probably going to be an outcome with a customer on the portion of that volume that would result in a higher ASP, and in requirements to deliver the product. So, that's all the stuff that we've got to work through. And I don't have answers to it yet. But I also want to make sure in our discussions with our customers is that I am more than willing to take a tough call on this that would require us to shut a facility in a situation where the rates are extremely high, because I don't want to walk myself into by keeping that factory open and now you're leveraging against yourself a negotiation. And I don't want to be in that situation. So, our position is going to be what we know of right now, it's probable that those factories may not continue to operate if the reciprocal tariffs go in place, but we'll know more once we negotiate with customers and how they see it. And we'll know more once we know about the IRA and what the options we can use to leverage that. But -- so a lot of uncertainty, as I indicated. And obviously, it's changed significantly from the last earnings call. And we're trying to be as transparent here with everyone, so you guys know what we're thinking about. Okay.
Operator: Thank you sir, and everyone that does conclude today's conference. We would like to thank you all for your participation. You may now disconnect.